Operator: Good morning. Welcome to the Waters Corporation First Quarter 2024 Financial Results Conference Call. [Operator Instructions] This call is being recorded. If anyone has objections, please disconnect at this time. It is now my pleasure to turn the call over to Mr. Caspar Tudor, Head of Investor Relations. Please go ahead, sir. 
Caspar Tudor: Thank you, Ivy. Good morning, everyone, and welcome to the Waters Corporation First Quarter Earnings Call. Today, I'm joined by Dr. Udit Batra, Waters' President and Chief Executive Officer; and Amol Chaubal, Waters' Senior Vice President and Chief Financial Officer. Before we begin, I will cover the cautionary language. I would like to first point out that our earnings release and the slide presentation supplementing today's call are available on the Investor Relations section of our website. In this conference call, we will make various forward-looking statements regarding future events or future financial performance of the company. 
 In particular, we will provide guidance regarding possible future results and commentary on potential market and business conditions that may impact Waters Corporation over the second quarter of 2024 and full year 2024. These statements are only our present expectations and actual events or results may differ materially. For more details, please see the risk factors included in our most recent annual report on Form 10-K, our Form 10-Qs and the cautionary language included in this morning's earnings release. During today's call, we will refer to certain non-GAAP financial measures, including in our discussions of the results of operations. 
 Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures are attached to our earnings release issued this morning and in the appendix of our presentation, which are available on the company's website. Unless stated otherwise, references to quarterly results increasing or decreasing are in comparison to the first quarter of fiscal year 2023 in organic constant currency terms. In addition, unless stated otherwise, all year-over-year revenue growth rates and ranges given on today's call, are given on a comparable organic constant currency basis. 
 Finally, we do not intend to update our guidance, predictions or projections, except as part of a regularly scheduled quarterly earnings release or as otherwise required by law. 
 Now I'd like to turn the call over to Udit to deliver our key remarks, then Amol will provide a more detailed look at our financial results. After, we will open the phone lines to take questions. Udit? 
Udit Batra: Thank you, Caspar, and good morning, everyone. We had a strong start to the year with sales coming in at the high end of our expectations backed again by excellent operational performance. I want to begin today's call by thanking my colleagues for their continued focus on innovation and supporting our customers. These results reflect our drive to accelerate the benefits of pioneering science with our innovative portfolio. 
 In the first quarter, market conditions were as expected, with cautious customer spending and later than typical budget releases. But as budgets opened up, we executed well with sales landing at the high end of our guide. We also continued to deliver outstanding operational results. Earnings were above our guidance and margins expanded even with volume and FX headwinds. This is a testament to our team, our resilient business model and our operational initiatives. Waters is well positioned for future growth in our attractive secular end markets. In the first quarter, we added to our revitalized portfolio with new products that serve high-growth areas.  
 Turning now to our results. In the first quarter, sales landed at the high end of our guidance, declining 7% as reported and 9% in organic constant currency. Our non-GAAP earnings per share exceeded our guidance at $2.21. On a GAAP basis, EPS was $1.72. Outside of China, sales declined mid-single digits as expected. In China, sales declined just under 30%, which was better than expected. Growth remained weak as our prior year baseline does not reflect last year's deterioration in market conditions, which became more pronounced in the second half.  
 While instruments declined 25% overall, LC sales were slightly better than expected, instrument weakness was led by mass spec, particularly for A&G-related applications, which had a tough prior year comparison from global funding and the China stimulus. Wyatt delivered a 3% M&A contribution to sales. We continue to see strong synergy performance and traction for our recently launched products such as ZetaStar. 
 Now I will talk more about our operational performance. We believe the best reflection of good operational execution is effective margin management, particularly when things slow down. While facing significant headwinds from volume, FX and inflation, we delivered yet another strong margin result. Our gross margin expanded 40 basis points to 58.9%, and our operating margin expanded 20 basis points for the quarter to 27%. This was achieved through a combination of our operational management initiatives across pricing, productivity and proactive cost alignment. These initiatives position us well for resilience during lower volume periods and give longer-term opportunity when market conditions normalize. You can see further evidence of our operational performance and our free cash flow. We had an exceptional start to the year, generating free cash flow of USD 234 million in the first quarter, which was 37% of sales.  
 With our excellent free cash flow profile, we made rapid progress in delevering from the Wyatt acquisition, as we approach its 1-year anniversary. We serve attractive secular end markets where testing volume plays a pivotal role in our business. This volume, which is correlated with global prescription consumption is expected to accelerate in the future, supporting our strong long-term growth outlook. Our distinct advantage in downstream applications lines with our full ecosystem of products that complement our innovative instrument portfolio.  
 In addition, we have strategically aligned with high-growth opportunities that further enhance our core position. We had a busy quarter launching several new products that support a number of exciting, high-growth areas. At Analytica, last month, we launched the Alliance iS Bio, a version of our groundbreaking next-generation liquid chromatography platform suited for biologics applications. In the -- the new HPLC system combines advanced bioseparation technology, bioinert surfaces and built-in intelligence features. This helps Biopharma QC analysts boost efficiency and eliminate up to 40% of common lab errors. We believe that the Alliance iS is the most significant innovation to hit pharma QA/QC labs in over a decade.  
 We're excited to bring this technology to routine testing applications for biologics. Supporting BioSeparations, we launched a new set of size exclusion chromatography columns called GTxResolve Premier. These columns enable scientists to quickly assess aggregate content, integrity and purity of larger biologic particles. It covers modalities such as lipid nanoparticles, nucleic acids, and viral vectors and give scientists a significant improvement in sensitivity and sample consumption while accelerating run times. This launch supports the development of these modalities into downstream high-volume settings, where Waters has critical instrument technology like LC, mass spec and light scattering as well as highly innovative industry-leading software chemistry and service.  
 To simplify the detection of PFAS, we launched waters, Oasis, dual-phase analysis cartridges. This consumable streamline sample prep for PFAS workflows when detecting concentrations in water, soils, biosolids and tissues. It joins our comprehensive portfolio of solutions that support the surging demand for PFAS testing, which is a USD 300 million to USD 350 million global market, growing 20% annually. In an environment of increased scrutiny, the ability to accurately test for PFAS at very low levels is becoming a critical compliance need for a broad spectrum of industries.  
 Our Xevo TQ absolute mass spec has leading sensitivity for detecting these anionic compounds. It can detect PFAS levels at as low as 1 part per quadrillion. Last month, in the United States, the EPA finalized and enforceable 4 parts per trillion limit of PFOA and PFOS in drinking water, which marks a significant regulatory milestone. Later this year, further regulations governing PFAS are expected across the globe. This includes the European Union, where REACH proposed chemicals, regulation contemplates a PFAS ban on products manufactured as well as once imported.  
 In our TA business, we launched the Rheo-IS, which serves battery testing applications when used with our hybrid rheometers. This Rheo-Impedance Spectroscopy accessory supports characterization of electrode studies, which can lead to more efficient battery production. 
 I will now cover our 2024 full year guidance. With our first quarter results, we remain on track to achieve our full year revenue outlook, which is unchanged from our previous guidance at negative 0.5% to positive 1.5% growth in organic constant currency.  
 We expect growth rates to improve over the remainder of the year and as our prior year comparisons, especially in China get easier. We expect improving funnel activity to translate to orders as the year progresses. With our strong operational performance, we expect to build leverage in our P&L despite the flattish revenue guide and delivered 20 to 30 basis points of adjusted operating margin expansion while still reinvesting for growth. As a result, our adjusted EPS guidance is also unchanged at 0% to 3% growth in the range of $11.75 to $12.05. 
 Now I will pass the call over to Amol to continue covering our financial results in more detail and provide the rest of our guidance. Amol? 
Amol Chaubal: Thank you, Udit, and good morning, everyone. In the first quarter, sales landed at the high end of our guidance range, declining 7% as reported and 9% in organic constant currency. As Udit mentioned, end market dynamics were consistent with our expectations. Ex-China declined mid-single digits as expected, while China declined close to 30%, which was slightly better than expected. In organic constant currency by end market, Pharma declined 6%, industrial declined 7% and academic and government declined 30%.  
 In Pharma, sales outside of China declined low single digits as we executed well in this CapEx constrained environment. In China, sales declined almost 30% due to ongoing market challenges that are not reflected in our prior year baselines. In industrial, food and environmental applications grew mid-single digits with continued strong growth in PFAS related workflows globally. We also saw strong growth in battery testing within our TA business, which has been a consistent growth theme.  
 However, this strength was more than offset by weakness in core industrial applications, which are more cyclical. Our TA business declined high single digits overall, while chemical analysis declined high teens. In academic and government, growth was weak against a 45% comparison as stimulus in China and elevated global funding in the prior year quarter drove lumpy spending patterns. By geography, sales in Asia declined 16%. The Americas declined 8% and Europe declined 3%. By products and services, instruments declined 25% with LC growth slightly better than expected.  
 Within recurring revenues, chemistry grew low single digits and service grew mid-single digits, both of which were affected by low activity levels in China. The quarter had 1 fewer day versus first quarter of 2023, which translates to a growth headwind of approximately 1% for recurring revenues. 
 Now I will comment on our first quarter non-GAAP financial performance versus the prior year. Despite headwinds from lower sales volumes, FX and inflation, our team continued to respond to these challenges with resilience and commitment. Our focus on operational excellence with pricing, productivity and proactive cost alignment allowed us to deliver first quarter gross margin of 58.9%, an expansion of 40 basis points and first quarter adjusted operating margin of 27% and expansion of 20 basis points. Our effective operating tax rate for the quarter was 14.3% and our average share count was 59.4 million shares. Our non-GAAP earnings per fully diluted share were $2.21. On a GAAP basis, earnings per fully diluted share were $1.72. A reconciliation of our GAAP to non-GAAP earnings is attached to this morning's press release and in the appendix of our earnings call presentation. 
 Turning now to free cash flow, capital deployment and our balance sheet. We define free cash flow as cash from operations, less capital expenditures and excludes special items. In the first quarter of 2024, free cash flow was $234 million after funding $29 million of capital expenditures, which is approximately 37% of sales. We maintain a strong balance sheet, access to liquidity and well-structured debt maturity profile. This strength allows us to prioritize investing in growth, including M&A and returning capital to shareholders. We continue to evaluate M&A opportunities that will meaningfully accelerate value creation. At the end of the quarter, our net debt position further declined to $1.7 billion, which is a net debt-to-EBITDA ratio of about 1.8x.  
 This reflects a decrease of approximately $300 million, as we delivered the Wyatt acquisition. As previously disclosed, our share buyback program has been temporarily suspended to enable us to pay down debt incurred as part of the Wyatt acquisition last year. We will evaluate the resumption of our share repurchase program throughout 2024 as part of our balanced capital deployment objectives. 
 Now I would like to share further commentary on our full year outlook and provide you with our second quarter guidance. We expect to see an improvement in sales growth over the course of 2024 as prior year comparisons, particularly in China, become easier, and has improved funnel activity translates to orders. Our full year guidance is unchanged with 2024 organic constant currency sales growth expected between negative 0.5% and positive 1.5%. At current exchange rates, currency translation is expected to result in a negative impact of just under 1% on a full year sales basis. We expect Wyatt transaction to add just over 1% M&A contribution to our full year 2024 revenue for inorganic sales incurred in the first 4.5 months of the year. Therefore, our total reported sales growth guidance is unchanged at approximately 0% to 2%.  
 Despite guiding to flattish sales, we expect to deliver a gross margin of 59.8% for the full year, which is a 20 basis points of expansion versus 2023. We also expect to deliver 20 to 30 basis points of operating margin expansion versus 2023, resulting in an adjusted operating margin of slightly over 31%. We expect our full year net interest expense to be approximately $80 million. Our full year tax rate is expected to be 16.3%, and our average diluted 2024 share count is expected to be approximately 59.7 million.  
 Rolling all this together, on a non-GAAP basis, our full year 2024 earnings per fully diluted share guidance is also unchanged and projected in the range of $11.75 to $12.05. This is approximately 0% to 3% growth and includes an estimated headwind of approximately 2% due to unfavorable foreign exchange. Looking to the second quarter 2024, we anticipate that cautious customer spending will persist. In addition, while the China Q2 baseline reflects the onset of weakness, it does not fully reflect the weakness we observed in the second half of the year.  
 As a result, we expect China to decline mid-teens in Q2 versus 28% decline we saw in Q1. Given these dynamics, we expect to see an improvement in year-over-year growth versus the first quarter and our second quarter organic constant currency sales growth guidance is projected in the range of negative 6% to negative 4%. At current rates, currency translation is expected to subtract approximately 2%. Wyatt is expected to add approximately 1.5% M&A contribution for sales incurred in the first 1.5 month of the quarter. Therefore, our total second quarter reported sales growth guidance is negative 6.5% to negative 4.5%. Based on these revenue expectations, second quarter non-GAAP earnings per fully diluted share are estimated to be in the range of $2.50 to $2.60, which includes a negative currency impact of approximately 4 percentage points at current FX rates. 
 Now I would like to turn the call back to Udit for some summary comments. Udit? 
Udit Batra: Thank you, Amol. I would like now to give you a brief update on our progress towards leaving the world better than we found it, which is how we think about ESG. We work alongside wonderful people here at Waters, and I'm always proud when others recognize their talent and hard work. Our colleagues were recognized in the quarter for their achievements and contributions to separation science, excellence in manufacturing and for being champions of LGBTQ and women's benefits in the workplace.  
 I would also like to congratulate Dr. Philip Wyatt, the founder of Wyatt Technology for receiving the esteemed Pittcon Heritage Award earlier this year. Dr. Wyatt's groundbreaking contributions to laser light scattering technology have paved the way for industry-leading advancements. From a corporate standpoint, Waters has once again been honored by Barron's, earning a place on its list of the 100 most sustainable companies in 2024. Additionally, we are delighted to announce that S&P Global has included Waters in its 2024 sustainability yearbook.  
 Separately, our commitment to robust governance practices was recently highlighted by the New England Chapter of the National Association of Corporate Directors. We were honored to have Massachusetts Governor, Maura Healey present Waters with the 2024 public company Board of the Year Award. After recently committing to SBTI, which is the science-based targets initiative, we are now building on the excellent progress we made in reducing our greenhouse gas emissions. We're in the process of setting new standards towards a long-term reduction in emissions and aligning our business with the 1.5 degree centigrade future.  
 Now to summarize, we're pleased with how the first quarter landed versus our expectations, which supports our full year guidance. We remain on track to achieving the 2024 objectives and look forward to building on this strength as the year progresses. Our long-term growth profile remains excellent, and we are aligned to secular tailwinds that are stronger than ever in our attractive markets. With our robust financial profile and balanced capital allocation strategy, we have an excellent platform to deliver sustained value for our shareholders. 
 So with that, I'll turn the call back over to Caspar. 
Caspar Tudor: Thanks, Udit. That concludes our formal comments. We are now ready to open the phone lines for questions. 
Operator: [Operator Instructions] Our first question comes from Dan Brennan from TD Cowen. 
Daniel Brennan: Maybe the first 1 just on China. You guys were coming into the quarter expecting down 40 and I know it was certainly better than that, and you're talking about Q2 color. I'm just wondering, I know you guys gave some color on what was going on in the quarter. But could you just unpack it a little bit more like what deviated from the guide? How it's pacing in the quarter? And then is there any change to your full year down mid-teens, high-teens growth for China? 
Udit Batra: Look, China came in better than we expected. But I'll remind you, it's still declining in the high 20s. Now we expect that to continue for at least the first half of the year. Q2 will also see a decline and the second half of the year, we'll start to see a little bit of growth given the weakening comps as the year progresses. Now coming back to Q1, to your question on what changed? I mean you just have to go back to late 2023 when we basically said, look, we think across all end markets, especially pharma, we've seen a bottoming out of the volume.  
 And from that baseline, we started to see better activity especially on the replacement of LCs in our Branded Generics segment and something that we had talked about in the last quarter as well. Now it's early days, right? We're starting to see a turn as customers start to replace this sort of highly aging LC fleet. So remember, we again talked about it at the end of last year. When you look at the 5-year stack growth of LC instruments for China, in particular, it's down now almost double digits, about 8% to 9% versus a year versus 5 years.  
 So with that as a baseline, we expect to see the replacement cycle initiate and we've started to see that already in Q1. Now to put things in perspective, there's also a fair amount of talk on the new stimulus and the stimulus itself is very different than the previous one. It appears it's going to roll over a 3-year period. It's 3x in size, and it explicitly calls out instrument replacement, so which encourages us, but we have not incorporated that into the guide for the full year, which now we're basically saying is likely to be low double-digit decline as opposed to the high teens decline that we had talked about when we gave the full year guidance.  
 So China will likely be a little bit better than we had anticipated. And just coming back to the stimulus and looking ahead, I would not -- while we have not incorporated that into our guidance explicitly, I would not underestimate the importance of that on the psychology of CapEx spending, especially the replacement cycle. And as that sort of starts rolling out towards the latter half of the year and towards late 2024 and early 2025, we should see the sentiment improve and likely start of the replacement cycle in earnest. 
Operator: Next, we'll go to the line of Vijay Kumar from Evercore ISI. 
Vijay Kumar: Udit, maybe on that comment around China. I think you mentioned improved funnel activity in the quarter as the quarter progressed. Is that funnel activity -- is that being sort of driven by this China? Or is that a global biopharma? Any color on what you mean by the funnel activity, and I think for the back half guidance, which assumes I think, close to high singles growth. What visibility do we have in growth normalizing in the back half? 
Udit Batra: Vijay, thank you for the 2 questions. So let me just sort of take a step back and provide some context, right? I mean, as you know, Q1 is the toughest quarter for Waters to predict, right? It's our smallest quarter of the year, and this is when customers start to think through the total CapEx spend for the year and also think through the phasing of that CapEx right? So we took advantage of that. And I personally met several customers across Europe and in the United States, across pharma, across A&G, across our industrial segments, across our clinical segments with our teams.  
 And really, there are 3 main takeaways. First, the quality of the funnel, the quality of the orders is way higher than what we saw a year ago across all of the segments, especially in pharma -- both in pharma and in biotech across Europe and the U.S. Second, when you look at the traction of our new products, our new products are gaining a ton of traction and are being used heavily by our customers. And they're waiting to sort of adopt Alliance iS in earnest, you can go across the portfolio. It's being received extremely well. And third, the question on phasing, while the orders are firm and strong, the CapEx spending is firm, given that it is decided in the late -- in the latter part of Q1, we think it's safe to assume that you'll only start to see the benefit late in Q2 and more so in the second half of the year.  
 So the funnel is weighted towards later in Q2 and the second half of the year. So that's what sort of has gone into our overall thinking. Now there are 2 big takeaways. One, we have increased confidence in our full year guide as a consequence of these discussions. And second, on the phasing, we simply went back and said, okay, let's just look at the last 15 years. Over the last 15 years, the Q2 usually is a step-up from Q1 of about 11% to 12%, right? And so we assumed a 10% step-up from Q1 to Q2.  
 And then first half versus second half, I mean, historically, it's basically, again, over the last 15 years, almost like clockwork. First half is 45% and the second half is 55% of revenues. So that's basically what the algorithm we used to look at the phasing of the guide from a revenue perspective. But overall, really increased confidence in the full year guide given the strengthening of the funnel and conversations across the globe and across customer segments and second, the phasing is basically rooted in history. 
Vijay Kumar: Fantastic. I'll let others jump in. 
Operator: Next, we'll go to the line of Michael Ryskin from Bank of America. 
Michael Ryskin: Just following up on some of the end market commentary you talked about China a little about how you expect a low double-digit decline, so a little bit better than prior. You're maintaining the fiscal year. So what's sort of offsetting that? And maybe specifically honing on Americas, it looked like that came a little bit worse in the quarter. Anything changed in your outlook there for the year? And then I've got a quick follow-up. 
Amol Chaubal: Yes. No. I mean, Mike, at this point, we are just derisking the remainder of the guide, right? We had better expectations of China, based on how we are executing in that market, and we're keeping our full year guide flat. 
Udit Batra: Yes. And then I think you asked about the U.S., in particular, what are we seeing in the U.S. Look, I mean, as I said, I spent a fair amount of time with customers across the globe. And one of those was a large customer in the Midwest, where I spent a whole day with about 12 to 13 folks from the customer across many different departments, across development, manufacturing, QA/QC. And we talked deeply about what they envision for CapEx, which I sort of earlier commented on, and the CapEx is very robust.  
 Second, we talked about the use of our new products, think about in-line testing with LCs, think about our columns, think about the upgrades for empower. The software, really, really well received. And we talked about the phasing of the spend, which also, again, is still sort of late Q2 and back half weighted. But to put it all in perspective, if you look at the U.S. itself, the 5 years stack, Michael, is still pretty healthy. It's in the mid- to high single digits, right?  
 So there is really no drama outside of China. I mean we've had 2 exceptional years in ex-China sales. And now you have a little bit of a lull, but the activity looks extremely good, gives us confidence of what we are planning for the full year. So as I said, no drama, no new news, but just other than the fact that new products are gaining traction and customers have much more robust orders than they did a year ago. 
Michael Ryskin: Okay. If I could squeeze in a quick follow-up. On Wyatt, you had some commentary on how the quarter progressed? And if you could elaborate on that a little bit. And it looks like you tweaked down the M&A contribution for the year. I think it was $1.3 million prior. Now it's $1.1 billion. Is that instrument mix in Wyatt? Is that phased and phasing through the year? Just sort of how is that acquisition trending? 
Amol Chaubal: Yes, look, I mean, on Wyatt, we're making fantastic progress, right? All the synergies that we laid out at the beginning of the acquisition, like cross-selling, like attaching our LC seamlessly to the instrument, like attaching our columns with their shipments have all progressed ahead of schedule, including sort of a beta version of bringing light scattering on Empower.  
 Now keep in mind, right, Q1 is a really small quarter and for instruments, especially and when things sort of slip a couple of weeks here and there, it causes that distortion. And that's why we sort of tweaked down Wyatt to 1.1% versus 1.3% M&A contribution. But way that acquisition is going, we are super happy where we are in that journey and really look forward to bringing light scattering into QA/QC. 
Udit Batra: And Michael, to build on it, again, from to customer conversations, I had an opportunity spent some time last week with one of our largest academic customers who has a hospital attached to it. And basically, we talked at length about characterization of lipid nanoparticles, which as you will know, are used for delivery of mRNA, both vaccines and therapeutics as we go forward, an area of intense interest across academia and industry. And these folks specialize in characterizing lipid nanoparticles, which can often be aggregated of different -- and have different sizes and shapes. Lights -- they basically use SEC columns from Waters and light scattering equipment to characterize these aggregates. In addition, what I learned is that they're piloting the use of field flow fractionation, which is another instrument that Wyatt makes as a precursor to using SEC malls, right?  
 And field to fractionation, if -- and the early experiments indicate a really positive outcome. If those experiments work well, could become a mainstay for any experiment that is done to separate these aggregates. And the same idea then applies to AAVs, which is -- which are viral vectors used for cell and gene therapy or other particles, that are used in biologics. So very excited about what we're seeing in Waters, really a great cultural fit, well ahead of all synergy targets and customer conversations even give me more confidence. So in the mid- to long-term, we expect it to continue to be accretive to growth and to margins. 
Operator: Our next question comes from Matt Sykes from Goldman Sachs. 
Matthew Sykes: Maybe just revisiting the guide, just given the lower-than-expected guide in Q2, and you mentioned that you expect sort of funnel activity translate into some level of orders towards the end of Q2 into Q3. Have you changed sort of your view on the phasing for second half in terms of the growth you're going to achieve in Q3 versus Q4. Are you pushing more of that potential growth into Q4. Has that phasing at all changed for your full year guide? 
Amol Chaubal: So Matt, thanks for your question. And look, I mean, we executed well to finish at the higher end of our Q1 guide, right? And that sort of keeps us on track for our full year sales guide. And as Udit discussed, our Q2 guide is essentially 10% higher than Q1, which has been sort of our historical trend pre-pandemic. And our second half guide is also very much consistent with how we've historically performed, which is a 45-55 split. So we generally expect the breakdown between Q3 and Q4 to also follow that historical trend for 2024. 
Udit Batra: I think, Matt, thanks for the question. And again, I'll remind you, we had the same discussion when we looked at Q3 versus Q4 of 2023, and there was a lot of discussion on the ramp. And I think we, again, landed at the higher end of what we were predicting. So a difficult business overall to predict if you have high average selling price instruments. But I think we have so much statistics from the history of Waters, gives us a lot of confidence and couple that with discussions that we've had with customers that we think the full year guide is fully intact. And quarter-on-quarter, there's a lot more time to talk about it as we see how Q2 evolves on the ramp between Q3 and Q4. But history should be a decent guide if you're really looking at that sort of modeling between quarters. 
Amol Chaubal: Yes. I mean on a growth basis, it looks a little weird, but that's because of last year, right? The weakness progressively stepped in China and pretty much Q3 and Q4, there was no incremental meaningful bad news out of China, but a lot of that was not reflected in Q1 and Q2. And that's why it sort of it plays out in the growth purely from the baseline effect mostly from China. 
Udit Batra: I think what Amol saying is it's arithmetic and customer conversations give us confidence that we have a pretty good set of visibility. 
Matthew Sykes: Great. And then just one quick follow-up. Just on the academic end market in the quarter. I know you were facing a really challenging comp. I think you grew academic like 45% constant currency. In Q1 of last year. So was there any incremental weakness in that academic end market? Or was it just purely facing difficult comps? 
Udit Batra: Yes, I think you nailed it, it's really difficult comps. I mean it is our smallest segment, in particular, anyway. So you see an exaggerated drop if you just look at year-on-year. And again, if you look at sort of the long-term trend and which is sort of the best way to look at Waters in any case, even in A&G what you find is the 5-year comp is at the low single digit, 5-year CAGR is at the low single-digit range. And ex-China, as I keep saying, there's really no drama ex-China, you're at almost 2% to 3% growth versus what we saw 5 years ago on a CAGR basis. 
 And China is down about sort of mid -- low to mid-single digits in the academic segment. Again, given the comps from last year, but also a little bit more exaggerated weakness. 
Operator: Next, we'll go to Rachel Vatnsdal from JPMorgan. 
Rachel Vatnsdal Olson: So I wanted to dig into the pharma performance in China a little bit. I believe you said that was down 30% this quarter versus rest of world down low single digits. So can you impact that China performance within Pharma for us a little bit Obviously, we've seen the headlines related to BIOSECURE Act. Last year at 1Q, you guys called out your overexposure to CDMOs in the region. 
 So can you quantify for us how much of this was driven by those Tier 1 CDMOs in the region this quarter? And then you previously have kind of broken out those trends between Tier 1 versus Tier 2 and 3 CDMOs. So could you do that for this quarter as well? 
Amol Chaubal: So look, I mean, great question. As you sort of travel through last year, Q2, Q3, Q4, we saw weakness creep in on different elements of the pharma business in China. But as I said earlier in Q3 and Q4, there was no incremental bad news out of China, and that trend sort of has continued into Q1. And so in a way, what played out, what you see in terms of the decline, is largely baseline related where China, from a pharma point of view has bottomed out and there is no incremental headwind coming into the business. 
 But we are also not seeing sort of growth in activity, both in CDMOs or in branded generics or in biotechs in China. So if anything, let's call it stable. Now on your second point, which is around the BIOSECURE Act, I mean, look, with the weakness that we observed in 2023, the baseline is largely corrected in China for submarkets like CDMOs, right, including Wuxi. 
 We are -- what we are seeing in the market is customers are taking proactive measures to secure their supply chain. And when they are doing that, our service organization, which is really well respected in the industry and plays a pivotal role in these tech transfers are deeply embedded when these moves happen, right? I mean, our role is to support customers in their pursuits and our customers really value our support when they go through situations like this and move products from one site to another. 
Udit Batra: And Rachel, just to embellish on this, and that's a very good sort of insightful question, just to embellish on what Amol said, on the minus 30% for Q1, it came minus 28%, Q1, it came above our expectations, largely because we started to see customers who have aging LC fleets in branded generics start to move, right? So we started to see that signal, which is a positive sign. And as I commented earlier, as the stimulus starts to roll in towards the latter part of the year, that should have a positive impact on the psychology for spending CapEx. 
 And I'll remind you that we're sort of almost 50% delinquent on these replacements in the Branded Generics segment, which is the largest segment for LCs in China. So we expect that to turn at some point and the psychology will have a lot to do with it. And on BIOSECURE, I mean it's a net neutral for us at the end, right? I mean we've already bottomed out on CDMOs at -- in China, and I think as customers look for help in transferring from one vendor to another, we stand ready to help them. 
Rachel Vatnsdal Olson: Great. And then my follow-up. I want to push on that China stimulus dynamic a little bit more in terms of some of your peers that are working on proposals for customers at this point, so can you talk about the conversations you're having on your end with customers and if you're working on proposals as well. And specifically, what types of instruments and then which industries do you really expect to benefit from within China stimulus? 
 We've heard some rumors around this being a little bit more industrial-focused or you seeing down in your proposal funnel as well? And then when do you think that this could eventually translate into orders and revenue? You mentioned back half of the year, some of the psychological impact. So any color on timing expectations that would be helpful as well. 
Udit Batra: Everything and anything about the stimulus, Rachel. Look, the timing, I don't have much more to add than what I said earlier. I think latter half of the year. We are indeed working with several customers on their plans for the stimulus as they hear more across the country. And it is a broad stimulus. I mean this time around, it's a 3-year stimulus, it's 3x in size. It's quite broad across virtually every customer segment, not just limited to A&G. And frankly speaking, I don't know what people -- if they got extra money in academic -- academia, what they would do with it because they've sort of been chockful. 
 And I remember I commented sort of in Q3 last year about how many instruments they bought high res instruments and how many are still in boxes. So I don't expect much of it to go to high-tier A&G customers, but definitely beyond that, there is a lot of conversation across many different customer segments as they plan and they learn more about the details of the stimulus. But I would not -- and so we have not incorporated that into the guide, and I would not expect that impact sooner than sort of later this year and in earnest first part of next year. 
 So good conversations with customers, planning going on, like you've heard it from others but a broader one, not just limited to academia across industrial, across pharma and the psychological impact I would not underestimate, as I said before, because I think we're operating at a significant deficit on LC instruments and Branded Generics. 
Operator: Next, we'll go to the line of Daniel Leonard from UBS. 
Daniel Leonard: One question on your gross margin expansion in the quarter. How much did better-than-expected product mix contribute to that? You mentioned that liquid chromatography did a bit better than planned and mass spec was a bit worse. So I'm curious how much of the contribution that was. 
Amol Chaubal: Dan, yes, I mean, look, the product mix is helping at this point, especially given lower instrument mix, that's contributing about 30 basis points. But keep in mind, there was also a good 70 to 80 basis points of FX headwind that we offsetted, right? So the remaining delta is favorably coming from price and some of the productivity initiatives in manufacturing. 
Operator: Next, we'll go to the line of Patrick Donnelly from Citi. 
Patrick Donnelly: I guess in terms of some of these conversations you're having, I'm wondering what stage do you think we're in? It sounds like again, the conversations with the funnel to your point, maybe improving a little bit, specifically with China, it sounds like maybe you're expecting the actual revs to show up late this year at the earliest. So how do you think about just the progression of these conversations into orders, into revs. And again, is there a potential for a bit of an air pocket as these conversations pick up and the dollars materialize a little later in the year? How do you think about just the progression there? 
Udit Batra: It's a great question. Look, Patrick, let's just take a full step back on Waters, right? As you know and many on the call know, we've grown instruments roughly 5%. And I know your question is targeted towards instruments. Instruments have grown on average 5% over the last 15 years, right? And those statistics are sort of easily available given that we've not done a lot of M&A. You can look at our longitudinal history on instruments, right? So about 5% on average, but no year is actually 5% on the dot, right? There are 5 that are well below 5 that are well above and 5 close to the average, right? 
 So you start with that. And since I've been at the company in the last 3.5 years, we've seen a microcosm of that already, right? So 2 years of 20-plus percent growth and now a bit of decline in instrument growth rate. We didn't get too excited when things were at 20-plus percent growth for several quarters in a row. And we said this is not going to last just given the long-term averages. And we're not so phased when we look at what we are seeing now. And now let me sort of address your question just with that as context, it's very difficult to predict a quarter-on-quarter rollout of instruments for Waters. 
 But I think it's more instructive to look at the 5-year average, especially when you think about LC. And a 5-year CAGR for LC is operating now at the low single-digit level. In China, it's almost double-digit decline. So we are due for a replacement cycle to begin very soon in LC instrumentation. And remember, these are used in QA/QC. So you can't forever defer these replacements. And the conversations that we've had with customers, and as I said, I spent a whole day with one of our largest customers, especially in QA/QC, they are raring to go and start the replacement cycles, right, on LCs. 
 The aging fleet is not something that they want to have, especially for new launches, which are going to be high volume and, of course, marketed compounds. So I think things are trending in the right direction. But again, I mean, just put this all in context, there's really, again, one shouldn't get too excited when you see high growth and decline, especially for our instrument portfolio. And when you look at the full year, again, I'll remind you that it's a 45, 55 average for the overall business, right? 
 First half, 45%, second half, 55%, and that's what we've assumed for the full year phasing overall, and the step-up in the second quarter is roughly 10%. So just sort of give you broad sort of signpost. But the conversations were with a QA -- with a heavy focus on QA/QC. And we see replacement -- signs of replacement cycles beginning both in China, which we commented on earlier, ex-China. 
Patrick Donnelly: And then Amol, maybe just quickly on the margin side. Can you just talk about the progression as we work our way through the year. I know you guys have some kind of cost initiatives working the way through the year last year. So I'm just trying to think on the cadence there and any moving pieces you want to call out as you work our way through '24 here. 
Amol Chaubal: Yes. Look, I mean, already in Q1, we put good numbers on board and continued our good financial performance. As you get into second half of the year, keep in mind, the proactive cost actions that we took are already in the baseline, and there will be some headwind as we accrue for bonuses. So you may not see meaningful margin expansion in the second half, net of those 2 effects, but we would have mostly covered our ground for the 20 to 30 basis points of margin expansion mostly in the first half. So we will still end up delivering an adjusted operating margin expansion of 20 to 30 basis points. 
Operator: Next, we'll go to the line of Doug Schenkel from Wolfe Research. 
Douglas Schenkel: Udit, thank you for the commentary on the quality of the funnel and also providing context, looking back 15 years at seasonal patterns, that's helpful. That said, recognizing those points and even being mindful of the year-over-year comparisons and how they progress over the course of the year. Your guidance, it doesn't seem conservative to me to be direct, at least as I look at the model. I'm struggling a little bit to kind of see how you get there in spite of all the helpful commentary you provided. To explain where I'm coming from, starting on revenue, the 45, 55 H1, H2 revenue split. It's a long-term norm, but it certainly isn't the recent norm. 
 And then looking at things a different way, I think you would need to go down -- go from being down more than 6% organic in the first half, to being up more than 7% positive in the second half. And for margins, if I'm doing the math right, I think you're essentially implying a targeted second half operating margin of around 33.5%, which is a bigger first half to second half ramp than normal. So with all of that in mind, my questions are really the following: one, how dependent are you on an instrument recovery and, in fact, a normalization to trend in the fourth quarter to get to these targets? 
 Two, if the answer is you are assuming a normalization, how do we put that with the margin guidance? And then third, given investor concern and just the market backdrop, keeping in mind, none of your peers sound good on China or instruments right now, did you contemplate cutting guidance a bit? I know that was a lot, so I'll get back in the queue and listen. 
Udit Batra: Go ahead -- Let's Amol start, and then I'll jump in. 
Amol Chaubal: Yes. Look, I mean, where we stand at this point, one may say, look, your Q2 guidance is conservative given there was some delay in budget releases in Q1. And we've been prudent there just to stay with our historical norm, right? Q3, Q4, we have some visibility in CRM. But the sales cycle, as you know, is 6, 9 months, so you don't have all the visibility, but it's still in line with the historical pattern, and we are seeing increased activity at early stages in our pipeline, which we think will convert into orders as the year progresses, right? 
 If you look at ex-China pretty much across these quarters, it is on a 5-year stack basis, a little lower, mid-single digits. So again, as Udit said, there is no noise ex-China. And really what plays out in the growth guide is how progressively the decline in China translates to a modest increase in the second half of the year, and that's what we are modeling. There could be upside on China, if China performs well. And we did some of that in our guide where we saw a little bit better China, and we derisk the remainder of the guide. 
 On your second question on the margin, I mean, as I said earlier, right, a lot of the cost work we did last year is in the second half baseline. So you're going to see very modest, if any, margin expansion in the second half, but we would have covered most of the ground on the 20 to 30 basis points of full year margin expansion in the first half. And China, I mean, stimulus is not in our guide. We expect very little towards the end of the year, if any, because a lot of things need to be worked out there. But we are super encouraged by what the government is doing, both in terms of the size and the tenure of the stimulus and the secondary effect it will have on the local mentality and purchase patterns. 
Udit Batra: Yes. And then just to sort of, again, embellish just a little bit, Doug, and summarize. First, yes, I mean, the discussions with customers are increasingly positive, but we felt we want to see that land first before we start assuming that it has come, right? So you can imagine, given how difficult it is to predict instrument businesses year-on-year, quarter-on-quarter is even trickier -- a trickier exercise. So yes, the conversations are positive, but we want to see it land and then we'll have -- hopefully, you're right, and then we can have another discussion at the end of Q2 that looks a little bit different. 
 Second, on China, it's a pure math issue, right? I mean the year has started better than we expected, but the second half of the year is when all the weakness was plugged in -- into the overall numbers. So you see second half being slightly -- basically flattish to slight growth. But if you put it all together, I mean, there is no drama ex-China. It's low single-digit growth prediction for the full year across the different customer segments, especially pharma and academia. And in China, it's a low double-digit decline after a very significant decline in the previous year. So really, there's not a lot of risk, as I look at it after the conversations that we've recently had with customers, the visibility we currently have. 
Operator: And our final question comes from Catherine Schulte from Baird. 
Catherine Ramsey: Maybe just on pharma. I think you said down low single digits ex-China. And you talked about budgets opening up throughout the quarter. So can you just talk through the health of that end market outside of China exiting the quarter and your expectations for the second quarter for that end market? 
Udit Batra: So Catherine, thank you for the question. Look, pharma overall even last year grew low single digits for us for the full year. And the full year guide again is low single-digit growth. Q1 was sort of a low single-digit decliner, but the conversations with customers make us even more confident that the full year guide is very much intact for a low single-digit growth in pharma. And as I said before, look, first, the orders look much more firm than they did a year ago across biotech and across pharma. 
 Second, when I look at what traction our products have especially the products that are meant to solve problems for large molecules, be it in columns. And I talked about that in the prepared remarks, be it in analysis using light scattering or using mass spec and LC the products have an extremely, extremely good traction. And as far as phasing is concerned, it's the same commentary that I provided overall. Look, Q1 came in as we expected for pharma and as we roll through the year, basically, the comps get a little bit easier. And so you see us landing at the full -- landing the full year with a low single-digit growth for pharma. 
Caspar Tudor: Thank you for joining us today and for your continued support and interest in Waters. A replay of this call will be available in the Investor Relations section of our website. This concludes our call, and we look forward to seeing you at future events and conferences. 
Operator: Thank you all for joining. That concludes the Waters Corporation First Quarter 2024 Financial Results Conference Call. You may disconnect at this time, and have a great rest of your day.